Operator: Welcome to the Synchrony Financial Third Quarter 2017 Earnings Conference Call. My name is Vanessa, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Mr. Greg Ketron, Director of Investor Relations. Sir, you may begin.
Greg Ketron: Thanks, Operator. Good morning, everyone. And welcome to our quarterly earnings conference call. Thanks for joining us. In addition to today’s press release, we have provided a presentation that covers the topics we plan to address during our call. The press release, detailed financial schedules and presentation are available on our website, synchronyfinancial.com. This information can be accessed by going to the Investor Relations section of the website. Before we get started, I want to remind you that our comments today will include forward-looking statements. These statements are subject to risks and uncertainty, and actual results could differ materially. We list the factors that might cause actual results to differ materially in our SEC filings, which are available on our website. During the call, we will refer to non-GAAP financial measures in discussing the company’s performance. You can find a reconciliation of these measures to GAAP financial measures in our materials for today’s call. Finally, Synchrony Financial is not responsible for and does not edit nor guarantee the accuracy of our earnings teleconference transcripts provided by third-party. The only authorized webcasts are located on our website. Margaret Keane, President and Chief Executive Officer; and Brian Doubles, Executive Vice President and Chief Financial Officer, will present our results this morning. After we complete the presentation, we will open the call up for questions. Now, it’s my pleasure to turn the call over to Margaret.
Margaret Keane: Thanks, Greg. Good morning, everyone, and thanks for joining us. During the call today, I will provide an overview of the quarter and then Brian will give details on our financial results. I’ll begin on slide three. For the third quarter net earnings totaled $555 million or $0.70 per diluted share. We continue to generate strong growth in several key areas of our business. Loan receivables were up 9%, which helped to drive strong net interest income growth of 11% during the quarter, consistent with our expectations organic growth helped to drive this performance and remains a top priority for our business. Additionally, purchase volume and average active accounts both increased 4% in the third quarter. These metrics are also highlighted on slide four of today’s presentation. Moving to credit quality, net charge-offs were 4.95% this quarter compared to 4.39% last year, provision for loan losses increased 33% driven by credit normalization and growth. Brian will provide more details on credit later in the call. The efficiency ratio was 30.4% for the quarter versus 30.6% last year as we continue to generate positive operating leverage. Our deposit base comprises a significant portion of our funding, 73% in the third quarter. As such, we remain focused on continuing to generate deposit growth. In the third quarter, deposits were up nearly $5 billion over the prior year or 9% to $54 billion. Competitive rates and customer service should help us to drive further deposit growth, and we expect for that growth to generally trend in line with our receivables growth. Regarding capital and liquidity, our common equity Tier 1 ratio was 17.3% and liquid assets totaled $16 billion or 18% of total assets at quarter end. During the quarter, we paid a $0.15 dividend per share and repurchased $390 million of our common stock. Looking at the business highlights, we renewed several partnerships this quarter, including Yamaha, BrandsMart U.S.A., Nautilus, Mars Petcare and Evine. We continue to seek new partnerships to augment our strong organic growth. During the quarter we launched new programs with At Home, a big-box specialty retailer of home decor products and Zulily, an e-commerce retailer. Furthermore, with the launch of Zulily, our QVC cardholders now enjoy expanded card utility as they are also able to use their QVC cards to make Zulily purchases. We also launched a new value proposition at PayPal that offers cardholders 2% cash back on their online and in-store purchases wherever MasterCard is accepted, and to make the card convenient and simple to use, all accounts are automatically added to members’ PayPal Wallet and cash rewards are redeemed directly to PayPal balances. We recently announced the rollout of our new CareCredit Dual Card, the CareCredit Rewards MasterCard. The card is being offered as an upgrade to select cardholders among our 10 million plus nationwide cardholder base. This new card combines the promotional credit capabilities of the standard CareCredit card with the added convenience of MasterCard acceptance. The CareCredit Rewards MasterCard remains focused on health, wellness and personal care, while offering cardholders the ability to earn points for all purchases, including CareCredit network and general purchases. Turning to slide five, I’ll spend a few moments on our sales platform performance. We continued to deliver growth across all three of our sales platforms in the third quarter. In Retail Card, we grew loan receivables 9% over last year, reflecting broad-based growth across our partner programs. Purchase volume grew 4% and average active account growth was 3%. Interest and fees on loans increased 11%, primarily driven by the loan receivables growth. As I noted earlier, we had another active quarter in our Retail Card sales platform with the renewal of our Evine partnership, the launch of our At Home and Zulily programs, and the rollout of our new value proposition at PayPal. We continue to leverage our strong Retail Card foundation and make investments to drive organic growth and attract profitable new programs. Payment Solutions also delivered a solid quarter. Broad-based growth across the sales platform with particular strength in home furnishings and automotive products resulted in loan receivables growth of 9%. Purchase volume grew 6%, excluding the impact from the loss of sales due to the HHGregg bankruptcy. Average active accounts were up 9%, and interest and fees on loans increased 11%, primarily driven by the loan receivables growth. We are pleased to have renewed several key Payment Solutions programs during the quarter, including Yamaha, BrandsMart U.S.A. and Nautilus, and we continue to enhance our Synchrony Car Care program, recently adding additional utility to nearly 3 million cardholders with the addition of Mavis Discount Tire to the Synchrony Car Care network. Payment Solutions reuse rates represented 26% of purchase volume in the third quarter. CareCredit also delivered another strong quarter. Receivables growth of 10% was led by our dental and veterinary specialties. Purchase volume and average active accounts were both up 9%. Interest and fees on loans also increased 9%, primarily driven by the loan receivables growth. We recently renewed our partnership with Mars Petcare, a global leader in pet care. We also entered the durable medical equipment market with new multiyear partnership with several personal mobility companies. This new market aligns well with our objective of helping people pay for care when they need it. And as I outlined earlier, we recently launched our new CareCredit Dual Card, further expanding the utility and convenience of the card. We will continue to seek ways to expand the utility of our CareCredit Card. Our network expansion and increased card utility has helped drive reuse, which represented 54% of purchase volume in the third quarter. Our sales platform delivered solid results and continue to develop, extend and deepen relationships, while providing innovative value-added solutions for our partners and cardholders. I’ll now turn the call to Brian to provide the details on our results.
Brian Doubles: Thanks, Margaret. I’ll start on slide six of the presentation. In the second quarter Synchrony earned $555 million of net income, which translates to $0.70 per diluted share. We continued to deliver strong growth with loan receivables up 9% and interest and fees on loan receivables up 11% over last year. Overall, we’re pleased with the growth we generated across the business. Purchase volume grew 4% over last year. The slower growth compared to recent quarters was due to a few factors. The underwriting refinements we have noted previously, impact from the hurricanes during the quarter and the HHGregg bankruptcy. Given some of these items are short-term in nature, we would expect the impact to moderate in future quarters. We had another solid quarter in average active accounts growth, which increased 4% year-over-year driven by the strong value propositions and promotional offers on our cards that continue to resonate with consumers. The positive trends continued in average balances with growth and average balance per average active account up 6% compared to last year. The interest and fee income growth was driven primarily by the growth in receivables. RSAs increased 6%, while we share the strong topline growth and positive operating leverage generated in the quarter, this was partly offset by higher incremental provision expense, RSAs as a percentage of average receivables was 4.2% for the quarter, down from 4.3% last year and in line with our expectations. For the year we still think RSAs will run near 4%. The provision for loan loss increased 33% over last year driven by credit normalization and growth. The reserve build in the quarter was $360 million, which included the impact from areas affected by the recent hurricanes and a slight reduction in expected recovery sales going forward. Adjusting for those items, the reserve build was largely in line with the previous two quarters and the expectations we laid out earlier in the year. I will cover asset quality metrics in more detail when we review slide eight later. Other income was $8 million lower than the prior year. While interchange was up $10 million driven by continued growth in out-of-store spending on our Dual Card, this was offset by loyalty expense that increased by $23 million, primarily driven by everyday value propositions. As a reminder, the interchange and loyalty expense run back through the RSAs, so there is a partial offset on each of these items. As we noted last quarter, we expect loyalty program expense as a percent of interchange revenue to trend near 100% with some quarterly fluctuation. Other expenses increased $99 million or 12% versus last year. We continue to expect expenses going forward to be largely driven by growth, including strategic investments in our sales platforms, in our direct deposit program, as well as enhancements to our digital and mobile capabilities. Lastly, the efficiency ratio was 30.4% for the quarter, compared to 30.6% last year and year-to-date the ratio is 30.3%, around a 70 basis point improvement over the 31% ratio year-to-date last year. The business continues to generate a significant degree of positive operating leverage. I’ll move to slide seven and cover our net interest income and margin trends. Net interest income was up 11% driven by the continued strong loan receivables growth. The net interest margin was 16.74%, up 40 basis points over last year. While we generally see margin performance improvement in the third quarter due to a higher revolve rate, the margin performed better than expected driven by a few factors. First, we benefited from a slightly higher mix of receivables versus liquidity on average compared to last year, as we continue to optimize the amount of liquidity we’re holding and have deployed excess liquidity to support our strong receivables growth. The yield on receivables was up 14 basis points compared to the prior year. The revolve rate increased slightly compared to the prior year and we received a modest benefit from the increases in the prime rate over the past year. Funding costs increased 8 basis points driven by higher rates in our interest-bearing liabilities, primarily due to higher benchmark rates. Since the fed started tightening, we had benefited as our yield on earning assets have outpaced the increase in funding cost, leading to the margin outperforming our expectations. Part of this benefit can be attributed to lower deposit rate betas than we were expecting through the first 100 basis points of tightening. We did see deposit rates move more in the last tightening, and we believe if rates continue to rise our deposit betas will increase to keep pace with future rate and deposit market increases. We also expect to see the normal seasonal decline in yield in the fourth quarter given the build in receivables during holiday season. This has been as much as 50 basis points to 60 basis points historically. As a result, we expect the net interest margin to trend closer to 16.25% in the fourth quarter, still well above our original outlook. Next, I will cover our key credit trends on slide eight. As we have noted on our previous calls, credit began to normalize in mid-2016 and we have expected this normalization to occur over time driven by number of factors, including portfolio and channel mix, account maturation and seasoning, and consumer and payment behaviors. As a result, we have needed to increase the level of reserve builds over the last quarters and as expected, this continued during the third quarter. But going forward, we believe the receive builds needed will be lower as the pace of credit normalization slows, assuming the current economic trends continue. In terms of the specific dynamics in the quarter, I will start with the delinquency trends, 30-plus delinquencies were 4.8%, compared to 4.26% last year and 90-plus delinquencies were 2.2% versus 1.89% last year. Moving on to net charge-offs, the net charge-off rate was 4.95%, compared to 4.39% last year. The largest contributing factor to the increase in NCOs continues to be normalization. Given what we’ve seen so far, we continue to expect NCOs to be in the low 5% range for 2017, however maybe at the higher end of the range depending on the impact from the hurricanes. It’s important to note that we do see a fairly significant seasonal impact that typically results in higher NCO levels in the fourth quarter. The allowance for loan losses as a percent of receivables was 6.97% and the reserve build from the second quarter was $360 million. As I noted earlier, this included the impact related to areas affected by the recent hurricanes and a slight reduction in expected recovery sales going forward. Adjusting for those items, the reserve build was largely in line with the previous two quarters and the expectations we laid out early in the year. Looking forward based on what we are see across the portfolio and assuming economic conditions are stable, our expectation continues to be a loss rate in the low-to-mid 5% range for 2018, with losses trending somewhat higher into the first half of ‘18, then starting to level off in the second half of the year. This is consistent with what we noted last quarter. Regarding loan loss reserve builds going forward, we expect the reserve builds will transition to be more growth driven, given our expectation that losses begin to level off in the second half of ‘18. We believe the reserve build in the fourth quarter will begin to reflect this and we expect the build to be in the $275 million range. I’d also like to provide an update on underwriting and vintage performance, which continues to trend in line with expectations. As you remember, we started making refinements to our underwriting in the second half of 2016 and we continue to see the positive impact of those changes. Additionally, we have continued to make incremental underwriting changes throughout the year and the early data suggest that the 2017 vintage is performing better than the second half of ‘16 and more in line with our 2015 vintage. In summary, while credit continues to normalize from here, we expect the pace of change and impact on our results will moderate as we move into 2018, assuming stable economic conditions. We continue to see very good opportunities for continued growth at attractive risk-adjusted returns. Moving to slide nine, I’ll cover our expenses for the quarter. Overall expenses came in at $958 million, up 12% over last year. Expenses continue to be primarily driven by growth. As I noted earlier, the efficiency ratio was 30.3% year-to-date, around a 70-basis-point improvement over last year, as we continue to drive operating leverage in the core business, while continuing to fund our strategic investments. Moving to slide 10, I will cover our funding sources, capital and liquidity position, as well as continued execution of the capital plan we announced in May. Looking at our funding profile first, one of the primary drivers of our funding strategy has been the continued strong growth of our deposit base. We continue to view this as a stable attractive source of funding for the business. Over the last year, we’ve grown our deposits by nearly $5 billion, primarily through our direct deposit program. This puts deposits at 73% of our funding, slightly higher than the 71% level we were operating at last year. We expect to continue to drive growth in our direct deposit program by continuing to offer attractive rates and great customer service, as well as building out our digital capabilities. Going forward, we continue to expect to grow deposits in line with receivables growth. Overall, we are pleased with our ability to attract and retain our deposit customers. In terms of our funding plan going forward, we will continue to grow our direct deposits and expect total deposits to be 70% to 75% of our funding mix going forward. Funding through securitizations was 16% of our funding, consistent with our target of 15% to 20%. Our third-party debt totals 11% of our funding sources within our 10% to 15% target. So, overall, we feel very good about our mix of funding and our access to a diverse set of funding sources. Turning to capital and liquidity, we ended the quarter at 17.3% CET1 under the transition rules and 17.2% CET1 under the fully phased-in Basel III rules. This compares to 17.9% on a fully phased-in basis last year over a 70-basis-point reduction, reflecting the impact of capital deployment through our capital plan and growth. Total liquidity was $22 billion, which is equal to 24% of our total assets. This is down from 27% last year, reflecting the deployment of some of our liquidity. We expect to be subject to the modified LCR approach and these liquidity levels put us well above the required LCR levels. During the quarter, we continue to execute on the capital plan we announced in May. We paid a common stock dividend of $0.15 per share and repurchased $390 million of common stock during the third quarter. We have approximately $1 billion remaining in potential share repurchases of the $1.64 billion our Board authorized through the four quarters ending June 30, 2018. We will continue to execute the new share repurchase plan subject to market conditions and other factors, including any legal and regulatory restrictions, and required approvals. Overall, we continue to execute on the strategy that we outlined previously. We build a strong very balance sheet with diversified funding sources, and strong capital and liquidity levels, and we expect to continue deploying capital through growth and further execution of our capital plan in the form of dividends and share repurchases. Before I conclude, I wanted to recap on our current view for the year. First, on the net interest margin, while we believe the margin trend is closer to 16.25% in the fourth quarter as we expect to see higher deposit betas and the seasonal decline in yields, we are still trending above the original outlook we provided back in January. The margin performance does demonstrate one of the natural offsets in the business. Some of the same factors driving credit normalization also result in a higher receivables yield, so we are seeing a partial offset on the revenue line. We continue to expect NCOs to be in the low 5% range for the full year 2017. Normalization continues to be the largest factor and the impact from the hurricanes may nudge this to the higher end of the range. Regarding loan loss reserve builds going forward, we expect the reserve builds begin to transition to be more growth driven in 2018. We believe the reserve build in the fourth quarter will begin to reflect this and we expect the build to be in the $275 million range. We continue to think RSAs as a percent of receivables will run near 4% for the year, given the impact of reserve build and somewhat higher loyalty program expenses, which are also shared with retailers through the RSA. Turning to expenses. We continue to generate positive operating leverage and now expect the efficiency ratio to be slightly lower than the 31% for the full year, ahead of our original outlook. We expect to continue to drive operating leverage in the core business. However, that will be partially offset by an increase in spending on strategic investments, as well as holiday marketing campaigns that will continue in the fourth quarter. In summary, the business continues to generate strong growth with attractive long-term returns, assuming economic conditions and the health of the consumer are consistent going forward, our expectation is that reserve builds will moderate into 2018, which combined with continued growth of the business and the impact from the substantial increase in our share repurchase program will help us generate EPS growth in 2018. With that, I’ll turn it back over to Margaret.
Margaret Keane: Thanks, Brian. I’ll provide a quick wrap up and then we’ll open the call for Q&A. We remain focused on our strategic priorities, working daily to drive organic growth, deliver value to our partners, attract new profitable programs and make the investments necessary to develop innovative solutions that help our partners address the evolving retail landscape. When our partners win, we win. Our results this quarter including the numerous renewals and program launches demonstrate our commitment to our partners and cardholders, and the value they derive from our products and services. Returning capital to shareholders also remains a key focus and we are pleased to have increased our dividend payout this quarter and to repurchase $390 million of our common stock. And we are doing this as we continue to grow our business, while maintaining strong returns and a solid balance sheet in the process. I’ll now turn the call back to Greg to open up to Q&A.
Greg Ketron: Thanks, Margaret. That concludes our comments on the quarter. We will now begin the Q&A session. So that we can accommodate as many of you as possible, I’d like to ask participants to please limit yourself to one primary and one follow-up question. If you have additional questions, the Investor Relations team will be available after the call. Operator, please start the Q&A session.
Operator: Thank you. [Operator Instructions] And we have our first question from Bill Carcache with Nomura.
Bill Carcache: Thank you. Good morning. Brian, I wanted to ask a question on, follow-up on your commentary around credit. The year-over-year increase in delinquency rates has been pretty flat since June at around 50 basis points. Is it reasonable given all of your commentary around your normalization and growth driven kind of all those dynamics to think of that 50 basis points as peak-ish or is there room for that to accelerate from here?
Brian Doubles: Yeah. Bill, I think, really what you’re seeing is the delinquency related to both the second half of ‘15 vintage in the first half of ‘16 vintages mature. They’re right at the point right now about 18 months out where they hit the peak delinquencies. And so if you think about the benefits from the underwriting changes that we made, those are just now starting to work their way through the portfolio. And so you’ll start to see those in the overall delinquency stats probably in the call it the first half of 2018 about six months in advance of net charge-offs leveling off, which we think happens in the back half of 2018. So I’d say delinquencies are trending in line with our expectations and again, just really driven by the normal seasoning pattern in those second half of ‘15, first half of ‘16 vintages.
Bill Carcache: Okay. If I may follow up, I had a bigger picture question for you, Margaret. Some of the larger bank issuers who have been a bit more aggressive on pricing appear to be facing a little bit of, I guess, pressure to deliver better operating performance within their card segments and arguably that would seem to diminish their ability to more aggressively go after some of your partners perhaps by leading with pricing. Just curious, are you seeing any signs of dialing back competitive pressures? Just trying to get a sense overall in the context some of the renewal risk that that investors are concerned about in terms of what you’re seeing.
Margaret Keane: Yeah. So I’d say we haven’t really seen a change in the competitive landscape. I think pricing is really one piece of the puzzle. The things that our partners really focus on is capabilities first, and then, obviously, once you get into that process then pricing becomes the end discussion. So we’re working hard to ensure and you see that in some the things we talked about earlier around our investments and how we’re trying to really work to innovate what our partners really need. So I’d say no real change that we’re seeing right now and we’re just focused on keeping our head down, and really trying to deliver for our partners as we go through this large retail transformation that’s occurring.
Bill Carcache: Thank you.
Operator: Thank you. Our next question comes from Rick Shane with JPMorgan.
Rick Shane: Thanks guys for taking my question this morning. I just want to talk a little bit about the implications of the tighter underwriting. Certainly, we understand that from a credit perspective, but I am curious how it impacts the revolve rate and then given the lower contribution from interchange on your model, how should we think about low -- potentially lower revolve rate on the economics of that business?
Brian Doubles: Yeah. I think, Rick, it’s a great question. I think you’re going to see the impact of the tighter underwriting in a couple areas. I think we’ve seen a modest impact when it comes to purchase volume. You can see that -- we saw that trend a little bit last quarter, a little bit more this quarter. Obviously, that’s where you feel the impact, I guess, more immediately. I think, longer-term and I would expect to start see a little bit of this in the fourth quarter. We would expect to see a little less benefit from revolve. I think we’ll still see good revolve rate on the portfolio. That’s the business that we’re. That’s what drives our earnings. I don’t view this as a fundamental change. But if I think about the significant lift in our margins that we got really starting second half of last year also this year, I think, that’s going to start to wane a bit, and I think, you’ll start to see a little bit of that in the fourth quarter and a little bit more of that probably in 2018.
Rick Shane: Great. Very helpful. Thanks, Brian
Brian Doubles: Yeah.
Operator: Thank you. Our next question is from Mark DeVries with Barclays.
Mark DeVries: Yeah. Thanks. I’ll appreciate you are showing some operating leverage with the efficiency ratio falling. At this point you are two years completely independent and well into your bank buildout. I have a question here, are there opportunities to really further your efficiency improvement as you do have peers who have grown expenses less substantially and been able to use expense days as a way -- to -- as a lever to try to offset the credit impact?
Brian Doubles: Yeah. Sure, Mark. Look, we’re very focused on productivity and I think so far year-to-date we’ve driven about 70 basis points on the efficiency ratio from 31% last year down to 30.3% so far year-to-date. So we are generating good operating leverage in the core business. We’re obviously using some of those productivity savings to increase the spend on our strategic investments. Certainly, revenue and margin has trended above expectations so far this year, so that’s helping us a bit. If you go back and you take a two-year look, the efficiency ratio in 2015 was 33.5% and we’ve driven that to just below 31% in two years. That feels like a fair amount of operating leverage for us to be generating while funding all of our strategic investments. So, what I would tell you that the huge focus of the management team, we’re always looking at ways to get more efficient in the areas that don’t directly impact our partners and our customers, cutting waste out of the business and then taking those savings, and obviously, showing some productivity, but also driving those savings back into strategic investments that are going to pay off two years, three years, four years, five years down the road
Mark DeVries: Okay. Are you able to give us some sense of what we should expect maybe in 2018 in terms of strategic investments?
Brian Doubles: It’s going to be along the same lines as the stuff we invested in this year. We’re spending on digital, mobile. We’re spending a lot on analytics. All the things that are helping us really outperform what has been a fairly weak retail environment right now. These are the things, as Margaret talked about, were -- it’s really important for us to help our retailers as we go through this transformation. So we need to be kind of investing ahead of the curve in order to sustain the type of growth that we’ve had.
Mark DeVries: Okay. Got it. Thank you.
Brian Doubles: Yeah.
Operator: Thank you. Our next question comes from Don Fandetti with Wells Fargo.
Don Fandetti: Hi. Good morning. Brian, a quick question on portfolio acquisition appetite, where are you on that and last night on the PayPal call, they mentioned that they might sell their portfolio by year end. Is that something that you would be interested in?
Margaret Keane: So I’m going to take that one, if it’s okay. We -- look, we showed this quarter that we’re interested in winning deals. We’re obviously very interested in winning deals. I can’t really comment on a particular portfolio that’s out in the marketplace. However, we’re really always open to attractive opportunities that meet our return hurdles, that are strategic for our business, that allow us the opportunity to continue to grow. So we’re continuing to work hard on our pipeline, looking at various opportunities across all three of our platforms and we’re going to continue to drive that through this year and into next year.
Don Fandetti: And Margaret on that same note, would you be willing to lend in international markets if one of your partners was interested in that?
Margaret Keane: We’d have to -- yeah, I think, the answer is, we would be interested. We’d have to really figure out how we would structure that. It’s a -- It gets a little more complicated from a funding perspective when you’re outside the U.S. So we’d have to figure that out. But, obviously, we’re always talking to people about different opportunities and we would continue to work with our partners to establish something that they felt strongly about.
Don Fandetti: Thank you.
Operator: Thank you. Our next question is from Ryan Nash with Goldman Sachs.
Ryan Nash: Hey. Good morning, guys. Brian, you gave us updated guidance for the 4Q reserve build of $275 million. A lot of the big banks this quarter were willing to tease out for us, what specifically in terms of reserve build was related to growth and what was related to higher charge-offs. So I was hoping maybe you could give us some color on that as you think about the 4Q reserve build. And two, as we start to see the headwinds from reserve building related to credit starting to subside over the next couple of quarters, what does this mean for the RSA over time? Thanks.
Brian Doubles: Yeah. Sure, Ryan. So, the reserve build -- the primary components are the same, credit normalization and strong receivables growth. If you break it down more specifically, think about approximately $20 million was related to hurricanes and recoveries, the two items that we spiked out individually for you guys, and then the balance of $340 million was really split roughly 50-50 between growth and normalization. So if you adjust for the two specific items, the build was pretty much in line with the prior two quarters, also in line with the outlook that we gave you back in April. So, I think, as you alluded to more importantly, just based on the trends that we’re seeing and the impact of the underwriting changes that we’ve made, we think the reserve will start to moderate beginning in the fourth quarter and then trend from there as we head into 2018. Obviously, we’ll give you a more complete outlook when we do our January call.
Ryan Nash: And then, I guess, just wasn’t made for the RSA as credits starts to normalize?
Brian Doubles: Yeah. As you think about the RSA, we trended well below our original expectation. If you remember back in January, we thought the RSA would be around 4.5%. We’re now seeing it somewhere in the 4% range, so there’s 50 basis points of an offset there versus our original expectations. You’ll start to see a little bit higher RSA starting in the fourth quarter. So with the reserve build trending down to the $275 million range versus where it’s been all year, the benefit of that lower build will obviously be shared with the retailers, so you’ll see a little bit of higher RSA in the fourth quarter. That brings us back to that kind of 4% level and then we would expect that trend to continue into 2018.
Ryan Nash: And just last follow up, Brian. On the 50-basis-point quarter-over-quarter NIM decline, obviously there’s a lot of moving pieces within that. But could you just help us understand what’s baked in, in terms of expectation for higher funding costs and revolve rate. Obviously, the market’s expecting another rate hike until the end of the quarter. Would you expect to see the deposit pricing continue to increase even though we’re not going to see a rate hike until the back half of the quarter? Thanks.
Brian Doubles: Yeah. Yeah. Let me give you a couple pieces as we think about the fourth quarter. So, first, as you mentioned, the most significant impact is just normal seasonality. So when you get that big seasonal build in receivables, you typically see a decline in yield as you move from the third quarter to the fourth quarter. That spend is much as 50 basis points to 60 basis points if you go back historically and look at it. And then, I think, you’ll have a couple of smaller impacts. I do think we’ll see slightly higher deposit betas than we’ve seen so far in the rate cycle. I don’t think it’s anything dramatic, but it’s probably a little more competition than what we saw all year. We start to see a little bit of that in the kind of latter half of the third quarter. I think that will continue into the fourth and into 2018. So far we’ve outperformed our expectations when it comes to deposit betas, I think we’ll just give a little bit of that back, so that’s in the forecast for the fourth quarter. We’ll also have a slight impact from some of the relief related to hurricane impacted areas. We think that will be pretty small but that’s included there as well. So I think you’ve got seasonality is the big driver and then you’ve got a couple of other small things that will work their way through in the fourth quarter.
Ryan Nash: Got it. Thanks for taking my questions.
Brian Doubles: Yeah.
Operator: Thank you. Our next question comes from Betsy Graseck with Morgan Stanley.
Betsy Graseck: Hi. Good morning.
Margaret Keane: Good morning.
Betsy Graseck: Just wanted to follow up on the NIM related to the forward look here, I think, you mentioned that the improvement waned a little bit, but does that because funding cost is going up or you’re not passing along as much of the rate hike in yields?
Brian Doubles: Well, if you’re talking specifically in the fourth quarter, it really is just seasonality. As you start to look seasonality and the two either items I mentioned, deposit betas being a little bit higher and a little bit of relief impact from the hurricanes. So those are kind of the specific dynamics for the fourth quarter. And then the one, I think, just to contemplate for -- as we move into 2018, in response to some of the underwriting changes we’ve made, we’ll probably have a little less benefit from higher revolve rate. So if you think about the second half of last year all through this year, we got a pretty substantial benefit from higher revolve. And I think that will just wane a little bit in line with credit starting to level off in the back half of ‘18. So those two things are obviously very linked and so we would expect to see a little less revolve as we move forward into ‘18.
Betsy Graseck: Got it. Okay. And then, just on this quarter and 3Q, I was wondering if there was any forbearance activity or delayed payments that you might have done for people in hurricane-related areas. I know a couple of peers mentioned that, so I was just wondering if that impacted NCOs as well this quarter?
Margaret Keane: Yeah. So, I’d say, I’ll start, I think, one of the things that we have to make sure, particularly in the space that we’re in, because our customers, our customers and the retailers, we really have to be thoughtful about the impact on them, because our goal is always to make them feel like we’re caring about them, we’re listening to their needs. So we have taken a number of actions to ensure we’re addressing the customer needs and Brian could you just talk about the financial impact of that.
Brian Doubles: Yeah. Sure, Betsy. I’d say, overall, it’s a pretty modest impact on the business. Obviously, starting with purchase volume, obviously the areas impacted by the hurricanes that resulted in some lost sales relative to our forecast. Wasn’t that material, but obviously something we expected to see. I think over the longer term, we would expect to see an increase in certain spend categories as people start to rebuild. We’re obviously waiving certain fees and charges in the impacted areas. That had about a 10-basis-point impact on margins, so it’s pretty small. We’ll likely have another similar impact in the fourth quarter. And then just in terms re-aging balances, because I know this has been a topic, we do waive minimum payments to give some customers additional time to pay, but we typically don’t move deeply delinquent accounts back to current, just given the odds of collecting on those accounts are very low to begin with. So there really wasn’t a benefit on net charge-offs due to hurricanes in the quarter for us, just based on our policies.
Betsy Graseck: Okay. So no impact on net charge-offs for you?
Brian Doubles: No. Not in the quarter.
Betsy Graseck: Yeah.
Brian Doubles: We do expect to have a little bit of an increase in net charge-offs, obviously, as we move into the fourth quarter, that was -- we recorded that in the reserve build this quarter.
Betsy Graseck: Got it. Okay. Thank you.
Brian Doubles: Yeah.
Operator: Thank you. Our next question comes from Sanjay Sakhrani with KBW.
Sanjay Sakhrani: Thanks. Here’s first question. I just wanted to clarify the RSA commentary Brian that you had. As we look out to next year, I mean, should we expect it to sort of migrate back to the mid-4%s or are you saying that the trendline is in the low 4%s?
Brian Doubles: Yeah. Sanjay, that’s probably more specific than we want to get on 2018 at this point. But what I’d tell you is we think it’s 4% for the year. It’s going to come up a bit in the fourth quarter and then we do expect the reserve builds to moderate, and if the reserve builds moderate, we would expect the RSAs to be higher than they were this year. So I’m not going to give you…
Sanjay Sakhrani: Okay.
Brian Doubles: …a specific number but higher than 4%.
Sanjay Sakhrani: Got it. And then, I guess, Margaret, obviously, you guys have a couple of large renewals out in 2019 and the dialogue is ongoing there. But, I mean, maybe you could just give us some preliminary window sort of into the nature of the discussions and how comfortable you feel on the renewals there? And then just maybe broader question, it’s been about three years since you guys have gone public and the complexion of the business is pretty much the same in terms of the mix of business. I mean, I know the other segments have been growing quite nicely. I mean are there any other expansion opportunities, maybe going back to some of the international opportunities that were brought up before? Thanks.
Margaret Keane: Sure. So, on renewals, I think, I’ve said this, we are trying to renew every day, right. It’s really a function of partnering with our retailers and making sure we are meeting their needs on an everyday basis. We do have some renewals coming up. We feel very confident that we’ll be able to renew those relationships. We’re working hard to make sure the dialogues happening in the right areas and hopefully we’ll be able to announce some things next year. And then the second question. I’d say two things. It’s -- we always look at opportunities that are outside the U.S. I think it really becomes a question of -- growth -- is it enough, where there’s enough growth. We have to think about funding, as I said. We have to think about more regulators to our mix. So we want to make sure we’re not overstretching ourselves from a regulatory point of view. I think what we’re really focused on right now is really looking at what I would call more opportunities to do some tuck-ins where it makes sense, an example is, we purchased GPShopper, as an example. That’s been a really nice acquisition for us in terms of, one, building out our capability and some of the things we’re doing from a mobile perspective, but I think also helping some of our partners build out their mobile capability. And I think you’ll see us doing things more like that in each of our platforms as we go into 2018.
Sanjay Sakhrani: Thank you.
Operator: Thank you. Our next question comes from Moshe Orenbuch with Credit Suisse.
Moshe Orenbuch: Great. Most of my questions actually have been asked and answered, just wanted to follow-up on a couple of areas. One is, on -- Brian, on the reserve build. I mean, you talked about it moderating. I guess, when we think about, when you’re thinking about that reserve level, like, what do you need to see for it to kind of get back substantially closer to just providing for growth, I mean, is it that delinquencies have then -- have -- is it that early part of ‘18 where the delinquency -- you expect the delinquencies to kind of start to improve or do the actual charge-offs have to start to improve?
Brian Doubles: Yeah. No. It’s a good question, Moshe. And obviously, picking an individual quarter where this is going to occur is somewhat challenging. But I think the easiest way to think about it is, when credit is exactly flat in your 12-month outlook, then your reserve build should be pretty much just growth related. Now that’s easier said than done, because you’re always putting on new vintages. Those vintages are seasoning, so you’ve always got a component of normalization or vintage seasoning in your reserve. And so that’s why what I think is a better expectation for all of you to have is that you start to see a modest decline in the reserve builds off of the current trend, right. So going from a core reserve build of around $340 million to something more in the $275 million range next quarter indicates some level of improvement in that forward-looking view on losses. To the extent that that outward view, that 12-month view continues to improve and stabilize, then you would expect to see the trend in reserve builds kind of follow along the same lines. So I know that’s not a specific answer on which quarter. What we have is a combination of what you’re seeing in the delinquency content, what you’re seeing in the vintage seasoning and then what is -- what does all that mean for your 12-month forward view on losses.
Moshe Orenbuch: Okay. And kind of to follow-up on Sanjay’s question on the renewals. What -- I guess what -- could you just talk a little bit about how you would get some of your major partners to kind of renew early, perhaps not going to RFP and how your experience in 2000 debt around the time of the announcement of the IPO reflected those renewals and any changes that had to be made and how we could apply that?
Margaret Keane: Right. So -- yeah, so, I would say, when -- our toughest renewal period was right before the IPO, because we went out and made sure we renewed all of our contracts so that when we came out to the IPO we had some stability in our portfolio. I think what generally happens is, the retailers looking for something whether it’s a new value prop, a new innovation or something that is important to them and it gives us an opportunity to open the dialogue up to say, okay, we can invest XYZ. We’ll put more in this particular area but we’re going to need an extension. That’s usually how that happens. There are cases for some retailers where there’s a requirement as part of their policy that they do have to RFP. So in some cases we just have to go through that process. But, again, I feel like we have very good relationships right now. Our partners need us probably more now than ever given the transformation that’s occurring in retail. I think the strategic investments that we’re making are really, really important. Having the digital seamless process for the customer, as well as really leveraging and being more real-time as we’re trying to work towards data, I think, are two really, really important initiatives for us to really help our partners as they go through that transformation. I think one positive we have is, we can see the transaction wherever it’s happening, right, whether it’s on a mobile phone, online or in the store, and we can see how that customer is shopping. And what we really want to get to is an ability to really integrate kind of the point-of-sale experience with big data and make that real-time. And there’s a lot of work going on right now to really try to work hard to get that to happen.
Moshe Orenbuch: Great. Thanks.
Operator: Thank you. Our last question comes from John Hecht with Jefferies.
John Hecht: Thanks guys very much and good morning.
Brian Doubles: Hey, John.
Margaret Keane: Hi, John.
John Hecht: I think most of my questions have been asked. I guess you guys have talked about a weak retail environment, and Margaret, you just talked about the digital component. I mean, could you give us maybe an update on some of your e-commerce factors, maybe penetration of total flow of volume or growth rates year-over-year in that regard?
Margaret Keane: So year-over-year our online sales were up about 16% and if you look at our Retail Card where we have good measures, our sales penetration is 24%. So we continue to feel really positive about our ability to grow that channel. And again, I think, what we’re really trying to do is roll out and we’re in the midst of doing some of this, some enhanced capability to our partners to make that process from applying and servicing on your mobile phone much more seamless. I think many of you heard last year we had SyPi, which is a plug-in app that we do with our retails. We’re rolling that out as an example more effectively across all our big retailers. So we see this as a continued really important opportunity for us. And I think similar to what I said on the last question, when you integrate that with really the data, I think, that’s really where we’ll have a real win and we’re working it to try to get that information to be real-time and that’s really what we’re focused on right now.
John Hecht: Okay. And turning to another growth endeavor, you’re looking at the stats the quarter. CareCredit continues to be a platform that you have shows pretty strong growth and I know you guys bought a portfolio from a competitor last year. Have -- maybe can you give us an update on that, what’s the penetration rate in terms of the, I guess, the partners, the medical partners in that concept and what’s the opportunity set going forward?
Margaret Keane: Yeah. I think, what we’re trying to do here is really look at CareCredit. I think, we have very high penetration in the verticals that we’ve been in for a while whether essential to that very high penetration of the partners. What we’re really looking at right now is and you’re seeing that in the growth is expanding into new verticals where we see an opportunity. When we do the verticals, one of the things we want to make sure, we never want to be in a position where if this is all not done where someone’s in surgery or something like that, we’re doing it outside, any of those types of areas. But one of the things, I think, you’re seeing is health care costs continue to go up. I think CareCredit is offering an opportunity to our customers to leverage and use some of our promotional financing to take care some of their very important health care needs and wellness needs. So, I think, we’re really excited about how we’re going after these verticals and driving that growth. And then, lastly, I’d say we’ve been in Rite Aid testing CareCredit as the utility card across some other areas and that’s an example where we’re seeing nice growth as well. So we’re continuing to look at what are the right areas to continue to expanding in CareCredit. I will tell you that the customers love that product. We have very high brand recognition. It’s a great little platform for us and one that we’re going to continue to invest heavily and really drive growth.
John Hecht: Thanks very much. Appreciate the color.
Brian Doubles: Thanks.
Margaret Keane: Thank you.
Greg Ketron: Okay. Thanks everyone for joining us this morning and your interest in Synchrony Financial. The Investor Relations team will be available to answer any further questions you may have. We hope you have a great day.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference call. We thank you for participating. You may now disconnect.